Operator: Good day and welcome to the NFE Second Quarter 2024 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Chance Pipitone. Please go ahead.
Chance Pipitone: Thank you, Samira, and good morning, everyone. Thank you for joining today's conference call, where we will discuss our second quarter 2024 results. The call is being recorded and will be available by replay on the Investors section of our website under the subheading Events and Presentations. At the same location, you will find a presentation that we will walk through on today's call. Please review this as it includes important information, including disclosures and risk factors. With that, I'll now hand over the call to our Chairman and CEO, Wes Edens.
Wesley Edens: Great. Thanks, Chance, and welcome, everybody. Please refer to the slide deck that we posted on our website as well as on this call, we will be referring to that, but we have a lot to run through here. I look forward to catching up. So let's start with the numbers on Page 3. Our earnings for the quarter were $120 million in EBITDA that was well below our target, our quarterly goal of $275 million with a miss of $155 million. The miss was entirely result of the delay in the deployment of our first FLNG 1 asset. Our goal is to bring this online in April of this year and for a variety of reasons, we missed this by several months. That's the bad news. The good news is we did bring it online last month on July 19th and has been performing very well since then. This is an incredibly valuable project and bringing it online and the timeline we achieved is a major accomplishment. It's a $2 billion-plus investment then today's market generates $500 million a year in free cash flow. So it's highly profitable and has a big impact on the business, but as a result of the impact of the delay of even a few months is material and had a big impact on the quarter that we recently concluded. As I said, the good news is the project is up and running and has been performing well. We performed our first transfer of a partial cargo early this morning. We'll now shut down the unit for approximately a week for planned maintenance and then fire back up and expect to achieve full production levels shortly thereafter. This then becomes a cornerstone asset for our company. Flip to Page 4, please. Page 4, this is a bit of a recap of our past, present and future financial results are shown here. In 2023, we made $1.3 billion. In the first quarter of 2024, we made $340 million. That was the last quarter that we had the residual impacts of the FEMA contract is a good quarter for us. The one that recently concluded $120 million our goal and forecast is for $275 million a quarter for the remainder of the year, Q3 will also be impacted by the delay as we got this online in July. We don't expect to get full production of this until the first of September, and thus, it will be somewhat reduced from the $275 million goal and then Q4 is a full quarter's production of $275 million. The FEMA claim that we'll talk about in just a few minutes with Brannen, will bring this up to total EBITDA expectations for the year with a range of $1.4 billion to $1.5 billion. Guidance for next year is $1.3 billion. Basically, that is just the existing volumes and customers plus the addition of our Nicaragua and Brazilian assets. At this point, over 90% of our expected revenues are contracted. So we feel very confident about achieving these results. We feel there is room for significant upside given that we're only about halfway through 2024. In addition, with the remainder of our Brazil contracts coming online in mid-2026, we expect this $1.3 billion to grow materially, which Andrew Dete will go through in just a moment. Turning to Page 5. Our broadly diversified business is now very easy to model and understand and here's the math for next year. Our total supply at this point is approximately 170 TBtus. 50 TBtus equals 1 ton of LNG. So we have a current supply in our portfolio of approximately 3.5 million tons for next year. The five countries shown and the net margins are weighted average of our various customer contracts. They range between the countries from $4.5 to $8 in margin. In general this is a function of the proportion of the capital we invested in order to achieve these results. In simple terms, and those markets are the largest investment, in particular, Brazil and Puerto Rico, our margins are the highest. The weighted net average is approximately $7, multiply 7 times 170 gives you approximately $1.2 billion at $100 million for ship operating margin, you get to our forecasted profit of $1.3 billion. Obviously, to the extent we sell more gas or more power these numbers go up. We've invested approximately $8 billion to create this portfolio of gas and ships and power plants and terminals and that investment is now behind us. And thus, our goal is to grow organically from here with little or no additional CapEx. The deployment of the FLNG asset represents a watershed event for us with respect to our investment activities, and now we are singularly focused on organic earnings and free cash flow. Page 6 is a simple page which shows arithmetic, but behind the FLNG 1 project at current market levels, you can just fall along the top. Total capacity of the unit is 1.4 million tons, which is 70 TBtu. Cost of LNG produced today is Henry Hub plus $2.50 or about $4.50 in total. The average margin of our business, as I said, is $7, 7 times 7 equals 490 on using our own facility and ships greatly reduces our logistics cost by $100 million. We've been added to $590 million or roughly $150 million a quarter. It's pretty simple math. Flip to Page 7. Operationally, we had a terrific quarter, highlighted by the FLNG 1 put into service. First cargo was actually transferred earlier this morning. Planned maintenance starts tonight for seven days, and we expect full production show thereafter. Completion of FLNG 1 triggered the FLNG 2 financing, which is an entire equity finance and requires no additional equity capital from us. The Brazilian terminals are complete. There's a beehive of great activity that I'll leave to Andrew to go through. Nicaragua is also nearly complete and I'll run through that in just a second. So if you flip over to Page Number 8, well, let's talk about Nicaragua. This is on the left-hand side of the picture of the power plant that we have built that is 100% completed. It's a 300-megawatt power plant. I think it's the first new modern power plant built in the country in the last 30 years and it is ready for operations. Five miles away, there's a jetty, an FSU will be on more of that. That jetty is 95% complete, as you can see from the picture here, waiting for the ship to show up. The last bit of kit to be installed is the five-mile pipeline. All those construction materials were delivered in the last couple of weeks and are ready to be installed. We expect that to be completed in September and begin operations thereafter. Our power plant is also located next to the IDB line, which allows us to then export power from Nicaragua to neighboring countries. So we feel like this is not just a Nicaragua terminal but actually a Central American terminal. I think there's a significant amount of activity that will come as a result of that. With that let to turn it over to Andrew. Andrew?
Andrew Dete: Good morning, everybody. Thanks, Wes. I'm on Page 9 for a similar update on Brazil. So two big assets that we want to check in on that are a big part of our kind of future growth and future projections here. The first is the CELBA 2 power plant. So that's our 630-megawatt power plant with the COD of July 2025. You can see a picture of that on the left. It's a small picture, but there's a big site and a ton of activity going on there. This is a 630-megawatt one-on-one combined cycle power plant, 25-year PPA fully financed with BNDS debt from Brazil, and we're 70% complete today and well on track to commence cash flows in the second half of next year. So everything is going great there. As you know, this power plant is adjacent to our Barcarena terminal, which has been operational now for a few months. We've had two different cargoes loaded into Barcarena already. So we're operating very well and everything is going great in Barcarena and CELBA. To the right is our Port of San project, so this is the project that we acquired in December, and we've made great progress since then. So 1,600-megawatt power plant, a 15-year PPA. We are now fully permitted. We've given full notice to proceed on our construction consortium, which is made up of Mitsubishi, Andrade Gutierrez. We've made great progress on the site fully cleared. And as you can see from the picture on the right, we're actually starting to pour the foundation, which is a big step for us. And then Mitsubishi has made great progress on the turbine. You can see the picture of one of them. And we are well on track, actually well ahead of schedule for our COD, which is the second half of 2026. Norsk Hydro is moving through commissioning really well, the Barcarena terminal. Gas volumes are up to about 60% of the contract demand as we commission the boilers and the calciners of their Alunorte Alumina refinery one by one. We expect to be at full ramp up on that contract by October of this year and Barcarena is really coming together very well. Flipping to Page 10 for a bit of a further update on Brazil. There's two other things we just want to check in on. One is our contracted EBITDA from Brazil planned to be about $470 million by 2026 when we turn on the Barcarena terminal, the two power plants I went through and then also our TGS terminal, which is operational. So our current contracted book of $470 million of EBITDA by 2026. And then the second thing is the growth that we expect out of Brazil, which is really from our TGS terminal in Santa Catarina. We are expecting the power auction to happen this year. We expect to win 2.5 gigawatts of power. That will be a mix between power that NFE builds and owns and other power plants that we supply on a contract which will pay us a fixed margin plus compensate us for the gas supply. So we have $470 million of contracted margin. We believe that this power auction in Santa Catarina can increase our EBITDA by another $400 million, and so we have great growth in Brazil over the next three to five years. I'm going to move next to the structure and capital structure and CapEx update on Page 12. So we have a few pages here to really walk through our next steps for the capital structure of NFE. And on Page 12, we have two main initiatives. First is to refinance our existing 2025 notes, those are due in September of next year. We'll look to extend the maturity of those notes as soon as possible. We have an existing commitment to backstop this refinancing. And so we feel like getting those notes refinanced is secure and we'll be in the market here soon to kind of get the best execution on that refinancing that we can. Second is we're going to target less than four times debt to EBITDA and that's senior secured corporate leverage to EBITDA by 2026. You can see on the right side where we have effectively kind of shown what our guidance is for 2024 and 2025 as well as our LTM in 2023 debt-to-EBITDA metrics. And then you can see kind of how we're doing that math with all the debt laid out below that here. As Wes went through, we forecast $1.3 billion of EBITDA in 2025, which would almost be exactly four times debt to EBITDA and then in 2026, when Port of San, Brazil and other assets turn online, we'll continue to grow that EBITDA and be below four times debt to EBITDA. So based on our projections here, we end up at a very comfortable amount of overall kind of long-term leverage at the corporate level. The next thing I want to walk through is basically how we're going to kind of continue to create more overall cash for debt service to deleverage and then more, of course, free cash flow available for equity holders. And the first thing to kind of make that point is to show our CapEx. So Page 13 is a CapEx overview for the remaining part of 2024 and then into 2025. The key point here is, obviously, we're done with FLNG 1. So our CapEx is going down precipitously. We've got kind of small bite-size CapEx on our downstream projects to finish those out and start generating revenues in 2025. You can see Brazil, Mexico, Nicaragua, Puerto Rico here on the page. That leads to about $128 million of net CapEx through the end of the year. And then we have CapEx on FLNG 2, which is also here as well, netted against the term loan that we have for FLNG 2. So really, from a net CapEx perspective, we've got about $177 million for the remaining part of '24. And then in 2025, that drops way off of $67 million of CapEx. So we'll see flipping to Page 14 is how that materially impacts the cash generation. So what we wanted to do here is provide a very simple walk from our adjusted EBITDA reported numbers to what really is kind of our cash flow available for debt service. So the cash we have to pay debt, eventually deleverage and then, of course, also generate free cash flow. So in the remaining part of 2024, we start with $1 billion of adjusted EBITDA, and we end up with $683 million of cash available for debt service. In 2025, we're going to decrease SG&A. We're going to decrease CapEx and we're going to end up $1.3 billion of adjusted EBITDA, but $933 million of cash flow available for debt service. So just wanted to provide a few numbers here and how lowering that overall CapEx spend actually leads to higher free cash flow for the business. And then flipping to Page 15 is the real long-term initiatives on our capital structure, which is effectively to migrate what we showed on the first page of this section, which is the sort of corporate loan leverage to asset level leverage. And this does two really important things for us. The first is it really harmonizes our long-term assets and contracts with longer-term debt. And by having longer-term debt, we bring down cost and we're able to lower corporate leverage to the benefit of equity holders. So our FLNG 1 asset, 30-year useful life, $2 billion replacement cost, and we expect to have $250 million of kind of annual cash flow at the asset. So we're showing illustrative asset debt of about $1.5 billion, which we think is very achievable. On the right side, NFE Brazil, 18-year average contract duration, $500 million of run rate EBITDA in 2026, 2.2 gigawatts of power plants, 46 TBtus of firm gas sales. And we expect almost $4 billion of enterprise value in 2026, which is a simple eight times the $500 million of contracted EBITDA. On that $4 billion of enterprise value, we'll have about $1 billion of long-term asset level leverage, which we're using for construction. And then we assume we can get to basically 50% LTV on that to another $1 billion of leverage. That together with the FLNG 1 that would mean $2.5 billion of leverage would migrate from the corporate level over time to the asset level and we'd end up with a long-term sustainable capital structure at the NFE corporate level and then with assets where we've aligned our long-term duration cash flows and assets with long-term duration lower-cost debt. Wes back to you.
Wesley Edens: Great. Thanks, Andrew. So let's talk about our new initiative, which is really just continuation of an existing business that we've had around here for many, many years. So flip to Page Number 17. A big, big part of our business here at NFE is the development of power systems and management of those systems. We own or manage 9 gigawatts of power between La Paz, Mexico, Puerto Sandino, our new project, Jamalco and Jamaica, Puerto Rico, of course, and then in Barcarena, Brazil. We are a global leader in Power Systems development overall. We own or have visibility of 2 gigawatts of turbines that are available for development in this modular form that we'll talk about in just a second. So our experience here is very, very significant and in particular with respect to the deployment of modular, highly reliable power systems. If you flip to Page Number 18, the two pictures that are shown in the power plants we built for the federal government last year, 425 megawatts of power was built in just 120 days. It provides 15% of the baseload power to the grid to Puerto Rico. It is by far the most stable and reliable portion of the grid with total availability of 99%. We're going to talk about this modular design with what we believe is the impact that we can achieve here in the United States and assisting data center tenants. But before I do that, let me turn it over to Brannen just to pause right now and talk about this project and the FEMA contract and the claim and where we are with that right now. Brannen?
Brannen McElmurray: You bet. Yes. Thank you, Wes. Really appreciate that. And just as a reminder, for folks on the phone, as Wes stated, this project originated with FEMA initiating a grid stabilization mission for Puerto Rico. NFE responded by entering into two contracts, each of which were for a two-year duration to build about 425 megawatts of power. Just to put it in perspective, NFE built this power, put it online, on the grid in 120 days. It's the fastest deployment of large-scale power in the history of the US Army Corp, which is actually saying something. In addition, it's an essential piece of infrastructure for the PR grid, about 15% of the grid currently is supplied by this power. And to put that in context, without it, hundreds of thousands of customers in Puerto Rico would not be receiving power every day. Most importantly, though, this particular -- these two particular power plants are 99% available and 99% reliable, which I think is a very key part of this particular solution, in particular, how it will apply to other applications, which we'll talk to in further slides. To put a couple of dates out there. On March 15, NFE sold these two power plants to Puerto Rico at the end of the contracts that FEMA had decided to conclude. In addition, we entered into an 80 TBtu island-wide contract with no disruption of service. So from the point of view of the Puerto Rican people. These power plants continue to operate without interruption. Importantly, because our contracts were two years, the government does have a right to end contracts early if they have a change in need, a change in policy or a change in strategy. However, if that happens, the government has an obligation to make certain payments to the contractors who are performing under those contracts. We have been going through a process which is considered a claim settlement process over the last several months to put together an extensive package with outside professionals who specialize in this, including our own team, we have submitted that package as a formal claim to Weston, who is our prime contractor, and they, in turn, have submitted it to the Army Corps. The claim is in an amount of $659 million, which approximates essentially what we are entitled to under the rules, under this type of circumstance. To put it in perspective, there are billions of dollars that were remaining to be owed on the contracts of $659 million, that's well within the Four Corners of what we would be entitled to under these under this process. In terms of next steps, we will go through a claim settlement process, which is a well-worn path and we will update people as to the results once they are known. I think the important part of this project, though is that it created extensive IP inside of NFE that showed us how what technology to use and the utilization of providing fast power for certain applications, including its reliability and availability, the speed at which we deployed this power, team that we use, the IP that we created can be applied to other concepts, including perhaps the fastest-growing area of infrastructure in the US. And for that, I'll turn it over to Wes to talk more about on Page 19.
Wesley Edens: Great. Thanks, Brannen. So these are the type of power systems that are most typically found in emerging markets that have significant power needs and most importantly they need power now. So some of the needs power now, giving them a power solution that turns on in three or four or five years is simply not reflective of what their needs actually are. As it turns out, there's another market much closer to home that has a very similar need hyperscaler data center users. You wouldn't think that emerging markets for power and hyper scale of data center users would be similar, but actually, they are quite similar. If you flip to Page number 19, we formed a new company, we call it, Klondike that is focused on providing these kind of power solutions to data centers. Page 19 shows the incredible growth of cloud computing that has occurred as companies have moved their computing needs out of their own servers into the hands of Amazon, Microsoft and others. To meet these needs, there have been literally thousands of data centers built in this country they've traditionally been built along those lines of the steps outlined on Page Number 20. Step one, identify a site, locate that site close to end users/city centers to mitigate latency issues. Step 2 applied to the local utility for power. Power supply is subject to grid availability, but these are modest amounts of power initially. And so that was the process that was followed. And number 3 is the data center then to increase the reliability, actually constructs their own backup power, which is necessary to provide the power redundancy that they need for their customers. These steps require connection to local grids, creating power struggle with local consumers, new grid connections can take three to five years and data center tenants need power now. Flip to Page Number 21. This is a schematic that shows the island power that we are designing. In simple terms, it's the same basic formula, which Brannen just described in Puerto Rico and Mexico and elsewhere. What we've done in addition to what we installed in those markets as we install backup generation to provide additional redundancy. So you look at the schematic, you can see an array of turbines that are shown on the upper middle and upper right-hand side, and then for additional turbines that are shown on the left-hand side. Basically, by increasing the number of backup units you take system reliability, which is already extremely high, 99% plus in our experience in Puerto Rico, and you make it well over 100%. And you achieve then the 59s reliability that are necessary for the data center users and do so in both a very efficient way, a very, very quick path that 120 days to deploy, and one that has ultimate system reliability. So Page number 22, we're addressing all the major constraints of digital infrastructure development by utilizing this behind the meter on-site power. The business is up and running. So step 1 is to identify a site with either a data center partner or on our own site and we're working on both as we speak. We are preparing to file permits on the site that we own in Pennsylvania. Pennsylvania and Ohio, in particular, we believe, are very attractive because of their physical proximity to large population centers as well as very abundant and inexpensive natural gas, which is a terrific combination. So step 1 is to identify a site that works. Step 2 is developed a state-of-the-art smart island grid, which is in the process of doing right now, which utilizes the same factors, which I outlined on the previous page to achieve redundancy and number 3 is get power permits in hand and install this and we turn on tower next year. Page 23, we outlined, we have a number of our sites in our portfolio that we think are very suitable for fast power situations. We have the large site in Wyalusing, Pennsylvania, which we fired years ago. We have a site in Shannon, Ireland, which is the site where we're intending to build a power plant that we have provide power in part to the grid in Ireland and have the capacity to provide behind the meter power to data center tenants there as well. And then a large site in Brazil, which is permitted for 1,000 megawatts of power on a 100-acre site located off the TBG pipeline so we can provide the gas to provide the redundancy there. The economics of this business are potentially very compelling. Our expectation is we'll enter into a long-term commitment with data center tenants that are creditworthy. This can provide certainty of cash flow, allow us to finance this at a very low cost for an extended period. It's very exciting days for this business and one which if it's successful, we would likely spend to shareholders as the valuation metrics for this industry, given the growth attributes of it are very, very appealing. So a lot more to come on that. Chris?
Christopher Guinta: Yes. Thanks, Wes. Good morning, everybody. Let's turn to Slide Number 25 and talk through earnings for a moment. As you've heard from Wes and Andrew, which have covered the bulk of the financing initiatives of the company, I'll quickly walk through the financial results for the second quarter. Total operating margin was $202 million from sales to customers through our downstream terminals in addition to $12 million associated with LNG sales. And on this quarter, as we did in Q1, we had another $34 million of operating margin from the Ships segment. So it's a total segment operating margin of $248 million, which compares to $384 million in Q1. When you back out SG&A and deferred earnings, our adjusted EBITDA for the first quarter was $120 million. The deferred earnings line will be further explained in the 10-Q, but this is a result of a $90 million payment received for gas deliveries that will occur during Q3 and Q4. On these sales, we locked in commodity pricing and record $107 million of EBITDA and earnings associated with these volumes throughout the balance of 2024. As previously mentioned, the decrease in adjusted EBITDA quarter-over-quarter is predominantly driven by the termination of the FEMA power contract. This decrease was expected to be made up in large part with volumes from FLNG 1 available to sell. However, those did not occur in Q2 and the $120 million of EBITDA was the result. As Wes mentioned, once you have a full quarter of volumes from FLNG 1, we would expect the quarterly adjusted EBITDA to be around $275 million. Moving on to Slide Number 26. We show the GAAP net income for the quarter, which was an $89 million loss or $0.44 per share on a diluted basis. There's only a modest change to adjusted net income, which adds back a noncash impairment charge of $4 million or $0.03 a share. So if you add up Q1 and Q2, for the first half of 2024, we had $53 million of adjusted net income or $0.26 a share and $142 million of funds from operations or $0.69 per share. Also, just to repeat something we've mentioned in the past, when we collect on the claim from FEMA that will be recognized as EBITDA and income during the period in which it is received. Finally, I wanted to mention that NFE's operating assets in Jamaica, Puerto Rico, Mexico, had 99% uptime and reliability for the quarter, which is a testament to the tenacity of our team. With that, I'll turn the call back over to Chance for Q&A.
Chance Pipitone: Thanks, Chris. Operator, if you would, let's open up the lines for some Q&A. Thank you.
Operator: [Operator Instructions] We'll take our first question from Ben Nolan with Stifel. Please go ahead.
Benjamin Nolan: Yes. Thank you. So my first question just related to the contract. It looks like you've maybe got $500 million of that in the EBITDA for the back half of the year? Can you maybe talk through how you feel about how you come to that number? And any flexibility on timing? Is this a 4Q event or might it slip into next year? Any thoughts around that?
Brannen McElmurray: Yes, Ben, this is Brannen. Thank you for the question. And probably what I'll use it as just an opportunity to kind of lay this out and sort of demystify it. As I kind of said on the call, the original contract was for two years. Government has the right to terminate early. Under various circumstances. When that happens, there is a very tried and true kind of playbook and set of rules that you go through as the counterparties to the government to basically settle up. And the idea from the government perspective is they're trying to put you in a place that you would have been had they fully performed, particularly with respect to investments and commitments, et cetera, that you've made. I think the key concept to kind of realize here is keep in mind what we actually did for them is build two power plants, 425 megawatts and that work was complete at the time of COD. So functionally, the investment commitments, all the other things that we positioned the business to do were in effect at the time we turned on the power plant, which is, I think, a key concept. So when you go through this process with them, if you kind of aggregate gross sort of amounts owing under those two contracts kind of from the time that they stop to the time it would have finished, obviously, you know the math, it's measured in the billions of dollars. So we've gone through an extensive dialogue with Weston, who is our counterparty. We have lots of folks who do this professionally all the time for the government. And through that process, we have kind of zeroed in on really two concepts. One is the fact that we did ton of work around infrastructure, logistics chain and kind of positioning our business to make it work, particularly with respect to like ships and terminals and gear, et cetera. And then also with respect to the fuel that was being provided. So when you add all those line items up and you kind of go through the entitlement rules, it actually adds up to, right around $659 million. So that was put on a piece of paper with thousands of pages back up submitted to Weston. They, in turn, did their initial take on it. We had a little bit of puts and takes on that, but essentially, the numbers stayed the same and then they turn around, put their name on it and then send it in to the Army Corp for processing. And then effectively, you will enter into what is best thought of as a contract settlement process with them at some point. Now Weston is our counterparty. So that's actually the person that we'll be dealing with. And then presumably, we will make ourselves available for the Army Corps. As to timing, I think there is no certainty on that because you're talking about a government process that there would be around. But just keep in mind the following. We have been in dialogue for the last four or five months going back and forth over the details providing information, functionally what you're doing is checking off on somebody's diligence checklist. And so we'll continue that process, make ourselves available as soon as anybody wants to talk about it. I think our belief is that we will get engagement here pretty soon, and our goal is to try to settle this in the third quarter.
Benjamin Nolan: Okay. I appreciate it. And then sticking with Puerto Rico for a second and thinking about the incremental 80 TBtu island-wide side of it that should be online in the fourth quarter. Is there anything that should would stand in the way of reaching that threshold? And is power generation, gas power generation sufficient to absorb all of that? I mean is there anything that could get in the way that 80 TBtu?
Brannen McElmurray: Yes. So let me -- I'm going to start by answering it in this way just because of the way you ended it. I think the way to think about the Puerto Rican system because this is our strategy is it actually needs 5,500 megawatts of power, right? That's the way to think about it. It peaks at 3.3 gigawatts. You need about 700 megawatts of operational reserve, 900 megawatts of maintenance reserve and 600 megawatts of generation reserve. That's what they need. Today, you don't have that. And so functionally, what's getting ready to happen is with our two power plants that we made available plus the MegaGens that will be converted, plus Mayaguez will be converted, plus the other projects we're doing, including adding additional power, either through our own process or through the P3 process, our expectation is we'll hit those metrics certainly over time. As it relates to today, what we are hyper focused on are things that we could convert in the short-term. The MegaGens, as we talk about often, gas ready today. There's a regulatory process that we have to go through that we're almost complete. But as soon as that paperwork comes in and is done then that 86, 90 megawatts will be turned on to gas once it's turned on to gas, it will go down in the merit order up in the merit order ever going to think about it. In other words, it becomes cheaper and more likely to dispatch and then more likely to displace diesel and other generation, both because of inefficiency and fuel costs that are currently running.
Wesley Edens: And one other thing to amplify on that, Ben is that when you -- our business now is so easy to model, and I went through the numbers on the page. So 170 TBtus. Of that, about 150 of it is already contracted right? Not including the upsize in the Puerto Rico contract. So you're 88% of the 2025 results are essentially 100% contracted or 88% contracted right now. The incremental volumes that Brannen is talking about are the other 40 or so TBtus, so you actually have to go out and buy incremental fuel in order to supply those contracts. Also a happy coincidence is that the margin on the Puerto Rican contracts as we go through the illustrative margin there is about the same margin if you just sold those volumes into the marketplace. So the market for LNG today is about $13. The margin on those contracts would be about $13 is the sale price. So it doesn't really matter. There's really literally no incremental risk one way or the other. Obviously, our goal long-term is to serve customers. So we want to serve our customers there. As Brannen said, when you look at the island-wide needs, they have for power and cheaper power and cleaner power, they're significant. They're far beyond the size and the scale of what the contract is in place. So we feel like the organic ability to grow that contract is material, simply fulfilling it we'll actually utilize all the existing portfolio of gas that we have right now, and we think there's a significant amount of upside beyond that. And then last and again the same point is that the price in the market, the pricing in the markets for our products is basically the same. So in that happy coincidence, there's actually no real financial exposure whatsoever. So it's an incredibly secure price today. If that makes sense.
Operator: Thank you. And we'll take our next question from Greg Lewis with BTIG. Please go ahead.
Gregory Lewis: Yes. Hi. Thank you and good morning and thanks for taking my questions. I guess I want to follow up with Ben just in some of the comments. So as we think about where the market is today, around pricing and realizing those spreads. How are we thinking about and with the financing coming up, how are we thinking about hedging our natural gas, our power exposure. How are we thinking about that on the commodity side? Is that something we're actively looking to do? And just kind of an update there.
Wesley Edens: We essentially have no exposure. As I said, we have a portfolio of 170 TBtus. You have current demand in hand for 150 TBtus with a large pipeline behind that. And the market is basically right on top of what our net spreads are to deliver to customers. So in terms of our business, it is really purely a spread business right now. We basically buy gas or manufacture LNG, right? We list there's a couple of portfolio purchases that we make on a long-term basis that we have our own. We have long-term offtake contracts. The average term of our contract is well in excess of 10 years. We then simply provide logistics in the middle and deliver to it. So it really is a spread business. It's when we have spent $8 billion roughly building to get to this point. So we invested a tremendous amount of capital to get there. We made $1.3 billion last year. We think we're going to make between $1.4 billion, $1.5 billion this year. Notably, with no additional FEMA dollars coming whatsoever, we think the number is $1.3 billion is the guidance for next year. I showed that as simple as you possibly can, which is 170 TBtus times the $7 margin that is across our business, plus the $100 million roughly of ship operating results, that gets you to $1.3 billion. As Andrew said, incrementally, what is in hand, long-term contract capacity payments additionally in Brazil, add hundreds of millions of dollars to that. So you really have a business which now is rock solid is highly diversified, has $1.5 billion in growing EBITDA in the gun size for it with essentially no more CapEx spend to do it. So that's the profile of the business right now. Obviously, the results of a quarter like this are disappointing, but you're measuring a 30-year business across the three-month time frame, we had a delay of a couple of months. Unfortunately, that happens. That's behind us. It now operates and it works well. And so we feel like the financial footing of the company is incredibly secure. We've got as Andrew went through in great detail, we have a real goal to have less debt and longer term and lower cost debt over time and the path to get there is incrementally just to perform as we have, and we'll go through it, and we feel really, really good about the prospects for doing that productively here in the very short-term.
Gregory Lewis: Okay. And then just on the opportunity in Pennsylvania and Ohio. I mean, obviously, everyone saw the PGM news around the auction pricing. Could you talk a little bit about -- is that an opportunity or just where we look today as we bring your fast power solution to that area of the country. I guess how should we be thinking about that over the next couple of years in that opportunity?
Wesley Edens: Yes. I think that it is perhaps the best market for data center development, not just in the United States, but perhaps around the world. It's got a combination of plentiful land. It's got actually large population centers which are nearby, and it has very inexpensive and very long-term gas. So gas today, the lighting index today is around $1.50. So the actual energy payment component of that is actually really, really attractive. The challenge for the data center providers is exactly what I outlined. If they're going typically to a utility and saying, I need 5 or 10 or 20 megawatts worth of power did apply for a grid connection, they get it in relatively short order, they develop it and move on. They now go in for hundreds, if not thousands of megawatts, and that's a real problem. And so what you've seen is a PJM and then at the utilities, AEP and others, a real backup. So what was previously maybe a six-month or six-month process, now can be a three-year or a five-year or a seven-year process. And that simply is not responsive to the business needs that they have. That's where we come in. The fast power solutions that we have, the IP, as Brannen described, it is incredibly valuable. And what's also incredibly valuable is that we have a portfolio of turbines in a warehouse, plus we have access to other turbines. And so we have the feedstock that you need to actually then provide this and the knowledge and the ability to install this quickly. So the basic process is take a site, we have a phenomenal site in Wyalusing that we developed over the last several years. It's on a large natural gas pipeline. It's got adjacency to fiber. It's actually closed just down the road actually from the Talen power plant. So it gives you some sense of like the attractiveness of that to a prospective data center user. We then simply build and apply for permits, build our power, provide redundancy to it that then allows it to mimic the redundancy they would get with a grid, except it's an island power, and we can do so and turn on power, we think, in 2025. There is no way they can get power out of a grid in 2025. In fact, for most of the utilities around the country, we think that the time line to get power could be three years or four years or five years. So go call your favorite hyperscaler tenants, there's many of them, ask them what their prospects are for their business. The answer is great. Ask them what the prospects are for getting power now and their answers are decidedly less great. That's basically the business. What we want to be is the power provider to these data centers. This is not a me-too. Let's go build a bunch of data centers. There's a lot of people that can do that and do a terrific job with that. What we are very expert at is providing fast and low-cost and reliable power systems that's what they need, that's what we have. That's where we think the opportunity is. And I think the best place to prosecute that, in my opinion, at this point is Pennsylvania and Ohio because they both are places that have lots of demand from the hyperscalers for data centers and you have abundant supply of gas. And those two things together are a very, very powerful combination.
Operator: Thank you. And we'll take our next question from Craig Shere with Tuohy Brothers. Please go ahead.
Craig Shere: Good morning. Thanks for taking the questions. So after Nicaragua, do you see further downstream growth in 2025 restricted by a growth of economically contracted or internally produced LNG supply and how do you see that changing for the better or worse in the 2026, 2027.
Wesley Edens: It's a really good question, Craig. As you know, there still is a shortage of LNG. That's what prices are still relatively elevated. So modest compared to where they were at the height of the Ukrainian Russian conflict, but still reasonably high. So if you think that Henry Hub next year is forecasted to be around $3.50 add $2.50 is a good proxy for what would be the cost of it plus an add or something that's a $6 cost to buy LNG in the marketplace long-term. And the market is roughly $6 or $7 higher than that. It's $13, $13.5 kind of et cetera. Those numbers come down dramatically as you move to 2027 and beyond. In 2027, 2028, there is a significant amount of LNG supply that's coming online in Qatar and other places in the world. Venture Global has a significant amount of supply at that point in time. So we think that there is a bit of a window. That's why we're so focused on getting this first asset up and running. So today 2024, 2025, 2026, very valuable. After that, we think it's a much more normalized market. In a more normalized market, the power is the downstream. And so the $8 billion we spent in developing -- largely our downstream portfolio allows us to access markets that are large and growing. Mexico, Brazil being the top of that list, but also Puerto Rico, Central America, Jamaica those are countries that also have incremental demand. So we do feel like there's a lot of organic growth to come from our portfolio. We think there's a lot of availability of gas out a couple of years and we've got our own supply to take care of our customers over the next couple of years. So with the numbers that are in hand right now, the $1.3 billion we feel it's rock solid. And we feel like the increments in Brazil are another several hundred million dollars are actually contracted and are being built as Andrew detailed in great precision. So $1.5 billion business at this point we think is very much where we are right now and this is a substantial chance that we can grow that.
Craig Shere: Okay. And as a follow-up, to your point, less, I mean, $2.5 contracted netbacks long-term for liquefaction. I think in one of your slides, the implicit was $2.5 effective netback presumed value for FLNG is that $2.5 to $3.5 should we just see that basically included in the $7 average downstream margin? Or do you see that additive in some way over time?
Wesley Edens: No, it's actually -- it's basically included in the margin. Really, we think of the asset is producing gas into our own portfolio. The benefit of producing it over the next couple of years versus the market is well over $1 billion. So if you just simply take the 70 TBtus of production and look at it over the next couple of dollars versus market it is over $1.2 billion in incremental benefit. So the way I think of the asset that just came online is actually a combination of, number one, $2 billion roughly in terms of the cost to replicate it. And number two, just being in business today and taking advantage of higher prices gives you the benefit of another $1.2 billion. So you're well over $3 billion in asset value. That's how big of an impact that this has on our company, our finances, our book value, kind of, et cetera, et cetera. But at the end of the day, we view this as an integrated model and the simple way that we describe the business and in fact, the way the business exists is just simply the amount of production that we have, the 170 TBtus at this time, times the margin $7 that's what gives us the $1.2 billion plus $100 million, that's the baseload of your $1.3 billion before the additional growth in Brazil. So it's a greatly, greatly simplified and straightforward and diversified model. There's no lumpiness to it. There's no real subjectivity to it. There's not really a bunch of things that we're wishing and hoping and forecasting about this. It's really a business that exists, long-term contracts to long-term offtake with very little credit exposure is the core of the business.
Operator: Thank you. And we'll take our next question from Tarek Hamid with JPMorgan. Please go ahead.
Tarek Hamid: Good morning. I'd love to get some more color from you guys on how you think about the capital intensity of the Klondike business? And sort of how do you think about financing that business over time?
Wesley Edens: We think it basically is very little in terms of capital intensity because the nature of the contracts are going to be very, very long offtakes to very, very high creditworthy tenants. So we think it's a very capital-light business and basically one where we'll sign a modest amount of capital for down payments on turbines or transformers or things like that, but really down payments. But long-term, we think it is a highly cash flow-generative business with very little equity capital long-term, just given the nature of those contracts.
Tarek Hamid: Helpful. And then secondly, I'd just love any color you can give on sort of when you plan on starting to address the '25 and '26 is your senior notes. I think you've said during the prepared remarks, you had a commitment in hand on the '25.
Andrew Dete: Hey, it's Andrew. Yes, that's right. Look, it's obviously not the best market it could be, but we feel like we need to extend the maturity out and we'll be looking to address that in the very near-term.
Operator: Thank you. And at this time, I will turn the conference back to Wes Eden for any additional or closing remarks.
Wesley Edens: Great. Well, thanks, everyone, for dialing in. I appreciate the calls and the feedback, and we look forward to speaking to you all in the near future. Thank you.
Operator: Thank you. And this concludes today's call. Thank you for your participation. You may now disconnect.